Sonya Ghobrial: Good morning, everyone, and welcome to Haleon's conference call for our third quarter trading statement. I'm Sonya Ghobrial, Head of Investor Relations, and I'm joined this morning by Tobias Hestler, our Chief Financial Officer. Just to remind listeners on the call that in the discussions today, the company may make certain forward-looking statements, including those that refer to our estimates, plans and expectations. Please refer to this morning's announcement and the company's U.K. and SEC filings for more details, including factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. We intend to run through some slides before opening the call for Q&A. For those listening to our webcast who would like to ask a question, please use the dial-in details on Page 2 of today's press release. Whilst the focus today is on revenue performance, we've also provided group profit and margin detail on both a reported and an adjusted basis, with a full reconciliation of this in the appendix. For information, we do not intend to provide quarterly margin or profit data on an ongoing basis, and will only do this for as long as Pfizer reports our results as part of its financial statements and until our registration rights agreement with Pfizer and GSK terminates. With that, I'd like to hand the call over to Tobias.
Tobias Hestler: Thank you, Sonya, and good morning, everyone. So let me start with our third quarter highlights. We delivered another quarter of strong results with 8.1% organic revenue growth, driven by a healthy combination of both positive volume/mix as well as price. Notably, pricing accelerated throughout the year, although we start to lap some material increases in the prior year in Q4. Our Power Brands continue to deliver good growth despite slightly over a double-digit comparative from last year, with particular strength from Parodontax and our respiratory brands, Theraflu and Otrivin. Our growth was profitable, with inflationary cost pressures fully offset by price and efficiencies across the business, with margin down from adverse transactional foreign currency as well as the ramp-up of stand-alone costs as expected and previously guided. Given the strong 9-month results and the growth seen to date in Q4, we have updated our 2022 guidance. We now expect full year organic revenue growth to be between 8% and 8.5%, which also results in a benefit to operating profit. On margin, given favorable translational currency movements since we reported half year results, and assuming current FX spot rates hold, we now expect adjusted operating margin to be slightly above year-on-year. Our cash flow continues to be strong. And in the last months, with the recent repayment of a further GBP 250 million, we have now repaid GBP 1 billion of the GBP 1.5 billion term loan within 3 months of separation, demonstrating the strong cash generation of the business and our focus on deleveraging. Turning now to our third quarter results. Revenue of GBP 2.9 billion reflected 8.1% organic revenue growth with 2.6% volume/mix and 5.5% price. Adjusted operating profit of GBP 725 million, up 4% constant currency resulted in a 25.1% margin, down 90 basis points constant currency, which included a drag from transactional FX, largely from our exposure to the Swiss franc and U.S. dollar. Turning to the drivers of revenue growth in more detail. Revenue increased 16.1% to GBP 2.9 billion on a reported basis. There was an 800 basis points benefit from translational foreign exchange, mainly due to the sterling weakness compared with our major trading currencies. All in all, we delivered 8.1% organic sales growth, importantly, with 5.5% price and 2.6% volume/mix. Looking now at performance across our categories. Growth was broad-based with increased pricing throughout the year. Oral Health revenues were up 7%, with Sensodyne up mid-single digits, underpinned by continued share gain, benefiting from innovation and strong growth across a number of markets, including India, Middle East and Africa. As expected, China started to come back as lockdown restrictions began to lift in some cities. In the U.S., Sensodyne was down low single digits, reflecting the high base last year when retailers purchased inventory ahead of a price increase in Q4. Our other growth driver in the category, Parodontax, was up double digit. As expected, VMS organic revenues declined 1%, largely due to tough comparatives in Q3 last year, and the category was up around 20%. I will go through this in more detail shortly. Pain Relief revenue was up 4%, with Panadol and Advil up low and high single digit respectively, whilst Voltaren was broadly flat, with good growth in China and the U.S. offset by a decline in Germany. Respiratory revenues were strong, driven by both increased consumption from cold and flu incidence over the summer and increased retailer purchasing ahead of the flu season. This contributed 3 points to group organic growth for the quarter. I will also share a bit more detail on this shortly. Finally, Digestive Health and Other revenue was up 8% with high single-digit growth in Tums and Eno. Smokers health and skin health brands were also up high single digits, with Chapstick performing well as we launched a new value distribution channel for the brand. Now coming back to VMS. As you recall, in Q3 last year we had strong growth in VMS from successful innovation across Centrum and improved capacity in the U.S. for Emergen-C, which allowed retail restocking. Since then, our revenue has remained within a narrow band. We are now lapping the comparatives, which benefited from additional capacity in the U.S. last year, resulting in some volatility in organic growth rates. Absolute sales in Q3 were in line with the first 2 quarters this year, as you see in the table. This suggests continued consumption with good underlying demand and we continue to gain share in the category globally. Let me now share a bit more on trends in Respiratory. It's becoming increasingly difficult to split individual year-on-year movements, given elevated cold and flu incidences as well as COVID symptoms, which are flu-like in nature. The data on this chart shows cold and flu industry sales for the U.S. market, and we're seeing a comparable picture in Europe. The gray shaded area in this chart is pre-pandemic sales, which is indicative of a normal season: low cold and flu sales in the summer and higher level in the winter. The green and black line shows sales in 2021 and 2022. So first, we saw sustained cold and flu demand through the summer ahead of pre-pandemic levels and particularly in 2022, and this was very different to 2019. Second, strong growth in the quarter was also helped by increased retailer stocking ahead of the key season. As you think about Q4, it's worth keeping in mind that we saw 45% growth in respiratory in Q4 last year, when cold and flu came back after its absence through the pandemic. So we wouldn't expect these high growth rates to be sustained. As always, it's difficult to predict cold and flu trends based on the recent out-of-season months, as you can see from the significant difference in the shape of the winter season sales between 2019, 2021 and 2022. Looking now at the geographic segment performance. We delivered strong organic revenue growth across all of our regions. Starting with North America. Organic revenue increased 2.9% with 4.2% price and a 1.3% decline in volume/mix. The volume decline was as expected, given advanced retailer purchasing ahead of a Q4 price increase last year. This impacted third quarter growth last year by approximately 2%, along with inventory restocking. The region saw a low single-digit decline in Oral Health and a high-teens percent decline in VMS, lapping the comparatives I just mentioned. That said, underlying consumption has remained broadly steady in both categories through the year. One thing we have observed in recent months is that Emergen-C demand has been skewed towards time of COVID demand whereas Centrum is more consistent and less volatile. Pain relief was up high single digit given pricing and continued strong demand for Advil. Respiratory Health was up in the mid-20s percent, benefiting from sustained cold and flu incidence and retailer stocking ahead of the season. This was underpinned by successful new innovations, including Theraflu Max Strength and Flonase Headache and Allergy Relief. Turning now to Europe, Middle East, Africa and Latin America. Organic revenue increased 12.2% with 8.3% price and 3.9% volume mix. There was strong growth in Latin America and Middle East, Africa, helped by Sensodyne. In Europe, revenue was up high single digits with broad-based growth, with the exception of Germany, which was down slightly. As you know, we have plans in place to turn around the German business. Across the categories, Oral Health saw good growth, largely driven by Sensodyne, up low double digits, and Parodontax, which was up high single digits. We're seeing good consumer uptake for a number of brand innovations, including Sensodyne Natural White and Parodontax Gum and Breath. In VMS, the region delivered low double-digit revenue growth with strong growth from Centrum up nearly 20% as we continue to expand the portfolio where the brand is present and launch new innovations, including Benefit Blends in Brazil. Pain Relief revenue was down low single digits, reflecting a decline for Voltaren given weakness in the topical market. Respiratory sales were up over 35%, driven by the factors I explained earlier and retailer stocking ahead of the season. Digestive Health and Other saw sales up double digits, with good growth across most of our brands. Finally, turning to Asia Pacific. Organic revenue increased 9%, with 2.7% from price and 6.3% from volume/mix. Growth from pricing was lower than our other regions, given the less pronounced inflationary environment. China, our second largest market overall, was up high single digit, marking an improvement from the second quarter as lockdowns started to ease. India continued to perform well, up 10%. Looking across the Asia Pacific region as a whole, Oral Health saw strong growth, particularly from Sensodyne, helped by new innovations in the market. In VMS, we saw mid-single-digit growth, underpinned by successful consumer campaigns for Caltrate. In pain relief, Voltaren saw strong growth in China from distribution expansion, pricing and digital activation. Respiratory revenue was up high teens, driven by advanced purchasing ahead of the flu season. As you know, India is a key strategic market for us. You may have seen that we have agreed with Hindustan Unilever Limited to end our sales and distribution agreement in this market in Q4 of 2023. Whilst we have had a productive relationship with Hindustan, we now believe that by taking these services in-house, we are better placed to fully deliver on our strategy, consistent with our approach in other markets. We're working to ensure a smooth transition as we reestablish our own network in the country. Turning now to our operating performance. We delivered GBP 725 million of adjusted operating profit, up 4% constant currency, which included transaction FX losses, largely from the U.S. dollar and our Swiss cost base. Pricing and efficiencies fully offset inflationary cost pressure with the decline in margin, driven by the ramp-up of stand-alone costs as we expected. There was also a GBP 68 million benefit from movement in foreign exchange on a translational basis. Taken together, this resulted in a 15% reported increase in adjusted operating profit and a 25.1% operating margin. As a reminder, as you think through modeling, Q3 is typically our higher-margin quarter given advanced sales of cold and flu products ahead of the season without any significant A&P spend related to that. Turning to Haleon's debt profile. As you remember, pre-separation, we secured our long-term capital structure with the issuance of just over GBP 9 billion of notes and a GBP 1.5 billion term loan with no financial covenants. The principles applied for the debt rate support efficient deleveraging, given our strong cash generation. And at that time, we looked to align the currencies of debt with revenue. During the third quarter, we repaid GBP 750 million of our GBP 1.5 billion term loan and a further GBP 250 million was repaid in October. This was achieved through a combination of operational cash flows and commercial paper issuance. Due to significant volatility of sterling, particularly during the third quarter, the resulting adverse impact of FX offset the repayment of the term loan. As such, and given the adverse currency, we ended the quarter with net debt of GBP 10.8 billion. As you know, this reflects the exchange rate at the end of September. Although currency volatility continues, albeit to a lesser extent, the cash-generative nature of the business remains unchanged. We remain on track to achieve our deleveraging target of less than 3x net debt to adjusted EBITDA by end of 2024. Furthermore, at the end of September, our bond debt had an average duration of 8.2 years and a weighted average cost of 3%. Finally, I'm pleased to say that given our strong performance to date, we have updated our revenue and margin guidance for 2022. Following the strong third quarter, we now expect full year organic revenue growth to be between 8% and 8.5%. We also expect adjusted operating margin to be slightly ahead of the 22.8% we reported in 2021, assuming spot rates as of the 31st of October are sustained for the remainder of the year. So in summary, Haleon delivered strong third quarter performance with strength across both our Power Brands and local strategic brands. We delivered strong operating profit growth, having been able to fully offset inflationary pressures through price and efficiencies. Our recent trading momentum has resulted in us revising upwards our sales guidance, which will also result in higher operating profit. And our margin guidance for adjusted operating margin is slightly higher on a reported basis, given net favorable currency moves. Finally, our cash generation underpins our confidence in our ability to delever rapidly. Given the momentum across the business in what remains a challenging market environment, we remain confident of delivering on our medium-term guidance as we stated in this morning's release. With that, I would like to hand it back to the operator to open us up for questions.
Operator: [Operator Instructions] Our first question is from Guillaume Delmas from UBS.
Guillaume Gerard Delmas: The first one is on your updated 2022 guidance, because it seems to imply a soft fourth quarter with around 1% to 3% organic sales growth and circa then 50 basis points margin contraction at the operating margin level. So can you maybe walk us through the main factors driving this sequential slowdown? And what is more temporary in nature versus recurring? And my second question is about your strong confidence in your ability to deliver on your medium-term guidance. Should we read into this statement that you anticipate your performance next year, so 2023, to be consistent with your medium-term multiple year objective of 4% to 6% like-for-like sales growth and moderate margin expansion in constant FX?
Tobias Hestler: Thanks, Guillaume. So let me start first with the sales outlook for Q4. And as you said, our guidance implies about 1.5% to 3.5% growth in Q4. Now first of all, I think you've seen cold and flu sales were very strong. They contributed about 3 points of organic revenue growth in the third quarter. And as I said in my comments just earlier, that will not repeat going forward because last year, cold and flu was already back in Q4 with 45% growth. And as you've seen in the chart, actually, the '21 sales in cold and flu in Q4 were actually fully back at the pre-pandemic level. So that additional growth driver will not be there for Q4. Then secondly, overall comps are slightly tougher for Q4. Remember last year was 11% growth in Q4. Then also last year, we took pricing in Q4. So we're starting to hit the base of significant price increases. So last year, for example, we took mid to high single-digit price increases on October 1 across half of the portfolio in the U.S. And then there were some benefits in Q3 from advanced cold and flu purchasing ahead of the season. And then the last one is also you remember from last year, we brought incremental supply capacity onstream for VMS. So that benefited us in the second half of last year. And again, we're cycling over that. So look, it's really a factor of quarterly movements. Underlying consumption trends remain strong. And as you said, I think we said this morning, we're committed to our 4% to 6% medium-term outlook. Then let me move to your margin question, so why margin would be down in Q4 compared with what we have. So first of all, I think Q3 margin is artificially high. That is driven by us shipping and selling all the cold and flu inventory in Q3 without A&P attached to it. And then in Q4, you're catching this up by spending A&P on the sales we had in Q3. So I think Q3 has always been the highest margin quarter in the year as well. And secondly, growth rates in half 2 are lower. So I think we get less benefits from the efficiencies on the growth. And then the third one is, I think, the same -- very similar to what we explained at half year. The ramp is -- the cost to run Haleon as an independent company are ramping up in the second half of the year, whereas we delivered the synergies predominantly in the first half of the year. So I think, again, I think the result of all these quarterly movements and these moving pieces as we're separating out and establishing this company independently. And then thirdly, coming back to the medium-term guidance. So we are going to give full year guidance at the full year results. I think -- and then we'll update you then. I think overall, we remain committed to 4% to 6% medium term, but we'll tell you more about it as we close out the year.
Operator: The next question comes from Chris Pitcher from Redburn.
Chris Pitcher: Tobias and Sonya and all. Two questions for me. Could you talk a bit more specifically about Sensodyne in the U.S.? You mentioned Sensodyne you thought was taking share, but can you talk about the competitive environment in the U.S. and sort of innovations that you're working with there? And then secondly, on stand-alone costs, forgive me if you did give this, but are you able to grow the range you said beforehand now that we're a bit further into it? And within that, what sort of internal incentivization plans are being put in place, both operationally and for the executives?
Tobias Hestler: Great. Thanks, Chris. So on Sensodyne in the U.S., I think, first of all, when you look at the sales growth and recycling over a pull forward last year because the price increases we took in Q4 last year were on Oral Health largely. And that meant a lot -- quite a few of the retailers bought some inventory still in Q3 last year ahead of the price increase. So -- and we said last year, that I think impacted U.S. growth rates by a full 2 percentage points. And a big part of that was on Oral Health and then since Sensodyne is the largest brand, you can imagine a lot of it landed on Sensodyne as well. So that's the one item to keep in mind. I think outside that, I think we're competing well on Sensodyne. I think the business is doing well. We're gaining share overall. So I think from our perspective, I think, we're happy with the Oral Health performance and how it has come back on a year-to-date basis now after a weaker Q2 we had globally. On the stand-alone costs, I mean, we're in the range of the guidance we've given, GBP 175 million to GBP 200 million. Of course, now in Q3, the cost fully landed. So the team is complete and full. We also started the small amount of TSA agreements we have with GSK, so the costs start running on that on the 18th of July. So I think we've now sort of the fully loaded cost [ pag ] in the base as we operate Haleon independently. So no surprises here. And then your last question was on the incentives plan. So I think we have said -- you've seen we've issued the share plans and the -- and so the short-term incentives are on sales and operating profit, then the executive team has its personal objectives also to hit. So it's a combination of sales, adjusted operating profit delivery and margin delivery as a result, and individual objectives. And then the long-term objectives are all linked to the cash generation and to the deleveraging target. So I think very much in line with the overall objectives that we laid out at the CMD and that we're updating you on.
Sonya Ghobrial: I think the other thing I'd maybe also say just on that incentivization is I think we'd say there is a real opportunity because it's more consumer, more performance related than perhaps what was there before. And I think the other component we are flagging that's a little bit differentiated is the ESG qualifier that's included within incentivization as well.
Operator: Our next question is from Rashad Kawan from Morgan Stanley.
Rashad Kawan: Tobias and Sonya. My first one is on just down-trading or category softness. I mean, are you seeing any signs of accelerating down-trading in any of your categories or geographies? I know obviously you talked about VMS lapping strong comps, but that's one where we've started to see some category softness and a few peers kind of talking about that as well. Any other geographies or brands in particular you'd call out? And then the second question is on Nexium. Obviously, the product liability litigation bellwether trials have been pushed back from the 14th of November to the 1st of March of next year, with the judge providing time for the parties to pursue a settlement agreement beforehand. Obviously, the litigation remains complex and recent Delaware ruling in favor of AstraZeneca, but the future product liability could be significant if the plaintiffs gain momentum there, given the high prevalence of chronic kidney disease. So can you talk about whether your views have changed at all over the last few months around the litigation and help us with anything we should be looking out for in the coming months that can help us kind of stay on track of any developments there?
Tobias Hestler: Thanks, Rashad. So let me start with the current trading. So we've not seen any significant change in consumer behavior that we would call out. Look, there are small variances here and there by region or subcategories, but there is no widespread change. And I think maybe as a reminder, I mean, I think our products treat basic health care needs, and I think they tend, and as I think also our experience from prior crises, hold up well through difficult economic times. But what we've seen, I mean, a bit of color, right? I mean there are some small private label gains in subcategories like the PPI category, which has always been more price sensitive in the U.S. On base vitamin C, a bit more private label bought, but I think really too early to call a trend. What we've also seen is that more multipack purchases, so consumers looking at bulking up and buying more packs to get a price benefit. And also a little bit a channel shift, so more sales going through, for example, Dollar Tree in the U.S. So I think which, ultimately, for us, it's just a channel mix with very similar margins. So we're not too concerned about that. And then look, Asia Pacific, really a much lower inflation environment, so nothing to report there. And then I think in Europe, it's mixed. Again, nothing significant that we'd call out. But look, we're not complacent. We believe in the strength of our brands, but -- and you've seen also the business coming through well with volume gains on top of the price increases we took. So I think that gives us some confidence. Then on Nexium, there's no change in our view on the situation, right? And I think just as a reminder, I think, first of all, the product is on the market. It's supported by the FDA. We believe -- don't believe the science constitutes an evidence that there is a link between PPI usage and the injuries. And then also lastly, think about OTC use. These products are labeled for short-term use in the OTC space as well. So I think no change in our view on the product or on the PPI case.
Sonya Ghobrial: And I think your specific point in terms of the trial being postponed, so I mean the first bellwether trial in the next year was scheduled for November '22, that's been postponed to 2023. But probably important to note that, that trial doesn't involve Haleon or our OTC products, Nexium 24 or Prevacid 24, and there are currently no trials involving Haleon scheduled. So just worth mentioning that.
Operator: Our next question is from Victoria Nice from Societe Generale.
Victoria Nice: My first question just on A&P. I wondered if you could just remind us on the outlook for group A&P spend this year, either as a percentage of sales or gross versus last year, please? And then my next question is on the Zantac litigation. Just wondered when you expect we could see the next meaningful update providing better visibility on how the situation is unfolding. And I guess, specifically related to that, where are we on the indemnification dispute with GSK and Pfizer? Have the parties developed anything regarding a resolution on this side of the situation?
Tobias Hestler: Great. So look, on A&P, I mean, I think we said we're investing in the business, as you've seen in our half year results. We're not giving specific guidance on what happened in the quarter. Again, Q3 isn't really meaningful given the respiratory spend that is happening in Q4 rather than in Q3. So overall, we're investing in the business. We're investing behind the growth of the business, and we're agile and allocated to A&P to where we can get the growth. And you who've talked [ a bit ] it earlier today about where the growth drivers are. I mean overall A&P was 20% of sales last year. I think we think it's in a healthy place, and we keep investing in the business, into both A&P and also into R&D. And then we'll give you more update at the full year results on that, like we've done in the half year results. On Zantac, look, there's really nothing new to report. So I think we talked about it 1.5 months ago when we came out with the half year results. There have been small movements on the primary liabilities. And -- but I think that's probably for you to speak to GSK or Sanofi to. But I think from our perspective, there is no update. I mean we believe, and as we said in half year, we are not liable, and that's also why there is no movement on any indemnity discussions on that.
Operator: Our next question is from Faham Baig from Credit Suisse.
Mirza Faham Baig: A couple for me as well, please. Thanks for providing the VMS data on a quarterly basis and in currency adjusted -- on a currency adjusted basis. The question here for me is, how should we think about VMS consumption from a volume standpoint? So trying to eradicate the price increases that you've taken in the market. And where does volumes consumption or share of stomach compare to pre-pandemic levels? Are we 10% higher, 20% higher? Are we back in line with 2019 volumes? And then the second question, if you could just give us an update on the percentage of the business that is winning and maintaining market share. I think you highlighted it was 2/3 of the portfolio at H1.
Tobias Hestler: So first of all, on the percentage winning and maintaining share, so we plan to give you that update at the full year and the half year results. Given we only reported a few weeks ago, there is just no material updates to that. I think what I would say more broadly is no major change or move on that. So we feel confident. And by the way, you'll also see it in the Q3 results, which were up both price and volume, which should give you an indication that the business is -- continues to do well, but we'll give you that update at the full year results again when there's a few more months of data for it to be also meaningful, yes. On VMS, look, I think overall, the business is up on a 3-year stack, and it's also doing well in terms of volume. I think we've not seen the category go back. We're gaining share. So we're growing ahead of the market. There is a bit more of a roller coaster on Emergen-C because there's people that went into the category went out. It reacts very much to COVID being in the news. If people are scared about immunity, they buy a bit more Emergen-C. If less, then they buy a bit less. So that's the one that's a bit more volatile, whereas Centrum is doing well. We're also doing extremely well in Centrum, activating it in the markets across EMEA/LatAm. I mean, up over 20% in the quarter for that region. And also Caltrate continues to perform well in China. So I think overall, we're pleased with VMS consumption, both from a volume perspective and also from a pricing perspective.
Operator: The next question comes from Celine Pannuti from JPMorgan.
Celine Pannuti: Number one, so I would like to understand a bit your margin guide for the year? I mean, you raised it because of FX. So ex FX is unchanged, yet the top line is better. From a mix standpoint, OTC is better. So what has not done so well that net-net, you're not raising the underlying margin? And maybe on that, could you tell us what is your FX transaction exposure to the U.S. dollar and the Swiss franc, how much that had an impact on the 9 months on your margin? My second question relates to some of the questions that were asked on liabilities. Number one, I mean, Nexium and Zantac. I mean does this change a bit your view on Rx switch, i.e. Is that more a risky business? And so yes, what is -- how do you look at that? And second, on -- you said that you think you're not liable on Zantac. Why aren't you doing an arbitration and getting into an arbitration to get this cleared, please?
Tobias Hestler: Thanks, Celine. So on the margin guide, so we've taken the margin guidance up. So I mean, first of all, we've taken the sales guidance up. So there's more sales, that rolls through to higher profit. And operationally, leaving currencies aside, things are as we expected. So we are offsetting the inflationary pressures we have across the business with pricing and efficiencies. We're delivering the synergies from the Pfizer transaction, which were predominantly in the first half of the year. And we're in line with the cost to run Haleon independently as we have guided before, and those costs are coming predominantly in the second half of the year. So nothing has changed from a purely operational performance compared to what we have said before. What has changed is the massive movement on the currencies, predominantly after the summer, so  August and September. And two things have happened. So on the translational side, you've actually seen in Q3, there's about 800 basis points positive impact on sales and over 10% on the profit line, and you've seen it on my slide. So that's, I think, the proof point for the natural hedging we have in the business, coming pretty much from the weakness of the sterling. And then, of course, that was partially offset with some transactional losses, and the transactional losses relate predominantly to 2 things: one, to our cost base in Switzerland and then secondly, to the strengthening of the U.S. dollar against the number of the trading currencies that we have in the group as we purchase some of our materials in dollars. But of course, we sell in the local trading currencies. And that has increased as the year went on. And given it was material, we pointed this now out and gave you a bit of a color for it. For the full year, we expect up to 30 bps of transactional FX losses, assuming the spot rates remain where they were a few weeks ago. So I think that also maybe I think just on that, I think there's also a natural hedge on the debt, right? So I think we've aligned the amount of our debt with where we earn our profits in the longer term. Of course, there's a timing effect because it takes you full 12 months until the FX benefits are visible on the P&L versus the balance sheet date where it is immediately visible. Then moving on to Rx OTC switches. So look, I think these cases have changed nothing in the way how we deal with them. Rx-to-OTC switches are an attractive place, we've done them successfully in our business. Yes, we are selling pharmaceuticals and bringing into the market. But we believe that the overall risk exposure is significantly lower than in the pharmaceutical industry, because these products have been on the market decades. There is another big regulatory approval step that happens. So I think from our perspective, that makes sense. And also the benefit you get from it, these are highly attractive products. You get high margins for it. So I think that the attractiveness of the OTC business is the strength of the margin. And of course, that comes with a little bit of risk, given it's a regulated environment. And also the regulated environment is, I think, also helpful because the hurdles of entry into that is also higher. So I think in the -- when you put it all together, I think we believe this is an attractive business, and we will continue to invest in Rx to OTC switches, given we have a leading position there. And then on your last question on Zantac. I don't want to comment on the legal strategy, but we do not think a court would take an arbitration at that time. So I think that's not a road that we think is open to us at that point.
Operator: Our next question is from Martin Deboo from Jefferies.
Martin Deboo: Quick one from me, follow up on Zantac. I understand Pfizer did an SEC filing yesterday where they seemed to be clarifying that all Zantac assets and liabilities are being transferred to J&J, I presume in the 2006 transaction. Does that have any impact on your indemnity relationship with Pfizer as opposed to GSK? Can you just comment on that?
Tobias Hestler: Yes. Thanks, Martin. So maybe let me just read the sentence that they put into their 10-Q yesterday for -- so Pfizer updated their 10-Q and in that is the following sentence: "in 2006, Pfizer sold the consumer business that included its Zantac OTC rights to Johnson & Johnson and transferred the assets and liabilities related to Zantac OTC to Johnson & Johnson in connection with the sale." So in our view, this is what we have always assumed, but there was no public data on that sale. So we were all speculating. I think now with that statement, Pfizer has confirmed that they sold the business, including its assets and liabilities, in 2006. So I think it is now, I think, a official data point made by Pfizer on what happened back then, rather than us sort of speculating about what most likely would have happened in that transaction. So I think it just clarifies, in our view, the chain of liabilities, which now clearly established that these liabilities were sold by Pfizer to J&J with all the historic liabilities.
Operator: Our next question is from Iain Simpson from Barclays.
Iain Simpson: Just a quick housekeeping question, if I may. Could you just remind us of the sources of translational FX tailwind? You've talked a bit about where the transactional headwind is coming from, but anything on the translational tailwind would be great. And then also kind of quick housekeeping, if you could just give us an update on the Panadol rollout in Asia, as I think earlier in the year that was something that you felt kind of had the potential to be a meaningful growth engine? And then just lastly, if I could. Thinking about the dynamics and the comps here, at the H1 stage, you called out tough volume comps in Q3 due to sort of preorders and pipeline fillers as supply came online. You're now talking about higher prices in the Q4. So setting cold and flu to one side, let's just leave cold and flu out of it, but how should we think about your Q4 comp versus your Q3 comp given that tension?
Tobias Hestler: Great. Thanks, Iain. So we start with translational. So I mean, I think the biggest impact is the dollar, right? I mean I think we have about 1/3 of our revenues are in dollars and also a big part of the cost base is in dollars given that the manufacturing network is broadly aligned. The next biggest currency is the euro at 15%, and then followed by the Chinese RMB with about 8% of revenue. So I think those are the biggest currencies. And I mean, ultimately, it's the sterling weakness against those currencies, which was most pronounced, of course, in Q3. So I think those are probably the biggest drivers, but I think it was a bit bigger than what normally has given probably the massive rollercoaster that we've experienced. And then of course, some of it has eased since then as well. I think on your Panadol question, I mean, I think we commented in the half year that Panadol did well because the -- I mean, 1 reason is that the team in Asia did a brilliant job in positioning it for post-COVID vaccination use. I think so they gave us good results. I think it allowed us to get the product into more people's hands and we expect a positive long-term impact of that, right? But I think overall, very happy about the Panadol performance, and I think you've seen Panadol did well also in Q3. And then on your questions on the preorder. So look, it's very hard to establish exactly what the right level of preordering is, given the changes we had over the last few years. So what I would say is [ putting ] more qualitatively, we know that from some customers took orders that we felt though that's maybe a little bit higher, but it wouldn't be able to exactly quantify what it was. Ultimately, it doesn't really matter because it's -- the sell-out is happening in Q4. We're tracking -- you want enough inventory with the wholesalers, and then we will determine in the spring how good or bad of a season it was looking back, how many spikes you had. And I think for us, it's important to manage inventory at the season end. And then on your other comp, so leaving Respiratory aside, I mean, I think what you have to keep in mind for Q4 is the price increases we put through last year. So we're hitting the base on those. I mean example was 50% of the U.S. categories took a price increase on October 1 last year. So we're cycling that. And we're also going to cycle more VMS supply that came on stream, so a bit of re-piping last year. So that's the 2 things to keep in mind for Q4.
Iain Simpson: Just on translational FX, if I could follow up. I meant more at the margin level. So is it just that your cost base is overweight sterling because that's where your head office is and sterling is weaker, so you get a sort of translational tailwind? My question was really on the margin rather than revenues.
Tobias Hestler: Yes. Look, I mean, I think you saw it's slightly better, right? I mean it was 8, and then it was a bit more than 10. So I think, yes, the sterling cost base plays a role in that, yes. So -- but I think for me, it's probably even with the massive amount of movements we had in Q3, it shows that natural hedging, which I think is positive for us as a business.
Operator: Our next question comes from Karel Zoete from Kepler Cheuvreux.
Karel Zoete: Yes. I have 2 questions on 2 individual markets. The first one is on India. Can you elaborate on the reason to change to your route to market in this market? What's going to be the benefits for Haleon, will there be a transition period we should take into account, et cetera. The other thing is Germany a big market, for example, for Voltaren? I think for a few quarters, a bit more difficult in reporting setbacks. Is this a market issue? Or is it also a competitive situation that's difficult at this stage?
Tobias Hestler: Sure. So first of all, on India. So when we sold the Horlicks business to Hindustan Unilever, we agreed a 5-year distribution agreement. And so what Hindustan Unilever did for us is that the sales distribution. Our team were doing the marketing, the marketing campaigns, the promotional, the advertising, that's all done by us. So Hindustan Unilever supported us on the distribution side, and that deal was signed for 5 years. And we now agreed with Hindustan that we would end that prematurely, so 2 years earlier than we originally intended, and there's a 12-month notice on it. So I think over the next 12 months, we will work together with Hindustan to build our own structures. And maybe just a reminder, we have run this business with our own distribution before we did the Horlicks deal a few years back. So we have the capabilities and the skills in the team. So ultimately, we're building back what we had before. And ultimately, we -- like we have in every other market, India is a key growth market for us. And we want to have control of our own sales and distribution. And we also think it is more efficient from a cost base to run that as the business continues to grow. So I think we feel confident that, that's the right step to do that and take it back into our own hands. Now the collaboration went well, and I think we're going to collaborate with Hindustan over the next 12 months to transfer it back into our business. With respect to Germany, I mean, we had said it's -- with respect to Germany, it's a turnaround case. So we said that will take a while. We're implementing those plans. I think Germany, also, there is a bit of a market issue. I mean, on the biggest product in Germany is Voltaren. It is -- in times when systemic Pain Relief does well, as you've seen from our results as well, usually topicals don't do as well because if you're already taking a systemic pain reliever, you then usually don't use a topical in addition. And of course, Germany gets a bigger exposure on that given the high share of Voltaren in their business mix. And in addition, we have other internal things to fix, and that plan is underway, but it isn't a quick fix where it's done within a month or 2, yes? So the team is on that and the implementation is underway.
Operator: The next question comes from Tom Sykes at Deutsche Bank.
Tom Sykes: I just wanted to clarify that what you're saying on the respiratory inventories and stock building please, because obviously you'd normally get restocking in Q3. But obviously, the previous year was weak. So you're saying that this year was a particularly strong restocking effect versus last year, and is that sort of in quantum, if you like, any different to where it may have been perhaps in 2019? And then still on respiratory, you've obviously faced as an industry, a particularly tough comp in Q1. In Q1 last year as well as the very high demand, was there also some sort of overbuying, which makes that particularly difficult as a comp this year at all? And I suppose, therefore, where do you think retailer inventories are at the moment on a sort of normalized level versus cold and flu, please? And just a final 1 would be just on tax and interest. Is there any upward pressure on tax because of the U.K. and interest just because of FX impacts on the gross debt in sterling, please?
Tobias Hestler: Thanks, Tom. So on the stock in trade, I mean, overall, I think what happens in Q3 is you ship all the inventory. So of course, there is -- the shelves are full. The warehouses are full, and that's what you want it to be going into the season, because as you've seen in the sell-out chart that I had, for example in Q1, you can get massive spikes. So when cold and flu bugs go around, you suddenly get the business to double quadruple in a week's or 2 weeks' time. And it's important that for those situations and for those weeks, that there is enough inventory out in the trade. And that is impossible to predict if and when those spikes -- the spike of demands are happening. So I think that's why the industry sells -- has a strong sell-in by the end of Q3. And then we watch how the season goes. If you get some spikes earlier in the season, usually have repurchases; when they happen later in the season, then the inventory comes down. And then what we manage is we make sure towards the end of the season in spring that the inventory levels are where they should be going into the off-season months, where the demand is much lower, and you've also seen on my slide, where it's much more predictable and not spiky anymore. I think that's the dynamic. When -- what happened this year in Q3, we think given that the summer was a bit stronger given that the Q1 that was strong last year, that some customers wanted maybe a bit more product. It's very hard to quantify what that is. And look, for us, we ship it. We know it's going to be used, and there is several months to manage inventory down if needed, but I'm not particularly concerned about too much inventory in the trade because the season is going to be made by the number of spikes. And what we would show to you and share with you is at full year, how Q4 has been going and at end of Q1 how the winter season has been going. And if we had a stronger or a weaker season, yes? And then look, Q1 this year, earlier this year was strong, there was strong sellout, but there wasn't any particularly inventory effects on top of that. And then you asked about we're going to give you guidance on tax and interest next year with the full year result. For this year, there is no change to guidance. Just on the tax rate this year, we said we expected at the lower end of the 22% to 23% range. And then on interest, it is GBP 200 million for the year, and we're still in line with that guidance. So no change to that. Just to keep in mind for next year on interest, the GBP 200 million includes a GBP 40 billion income from the onlending of the bonds between March and 18th of July to GSK and Pfizer. So this GBP 40 million income will not be there next year. So you have to take that into account. And then secondly, you have to take into account for next year that we had the bonds for 9 months this year. So you have to gross it up to a full year. And then the interest rate, I mean, 20% is floating. So I think there is a smaller impact on the 20% that is floating from the change in interest rate environment since March when we took the bond. So that's probably just to give you a bit more color around as you model your interest for next year.
Operator: [Operator Instructions] We have 1 follow-up question from Iain Simpson at Barclays.
Iain Simpson: Just to drill into that debt with the 20% that's floating. So you've repaid GBP 1 billion of your GBP 1.5 billion term loan that I think was floating. You've clearly got the commercial paper element that I assume by definition, is going to be floating, I guess. Could you just firstly remind us like what proportion of your bonds are floating and what the face value of the kind of floating debt is? And secondly, whether we should assume that as the cash comes in, you'll finish retiring that term loan early and then potentially retire the commercial paper early. I'm assuming that your floating debt will have priority in terms of how you repay stuff, but any granularity you can give us as to how we think about this would be very helpful.
Tobias Hestler: Yes. Thanks, Iain. So I think the floating one at the moment is a bit higher, right, given the term loan that we're paying down. And you're absolutely right. We're prioritizing the term loan to pay it down. So we expect by year-end to have about 20% floating and 80% fixed. So that's, I think, where we're going to be by the end of this year. And that includes some swaps as well that are in there. And on the commercial paper program, yes, I mean, we repaid part of the repayment of the GBP 1 billion term loan came from taking commercial paper. But I mean we did that because the commercial paper has a lower interest charge than the term loan. So I think we use the flexibility we have on the term loan and being successful in the commercial paper market, to also lower our interest charge on that. So with that, thanks, everyone, for listening, and obviously, a strong quarter. Sorry, we have a fire alarm here setting up. So thanks, everyone. Goodbye. Thanks for your interest. Thank you. Bye.